Operator: Good day and welcome to the COGECO Inc. and Cogeco Cable Q2 2013 Conference Call. Today's conference is being recorded. At this time, I would like to turn the call over to Mr. Pierre Gagné. Please go ahead.
Pierre Gagné: Thank you very much. Good morning, everybody. And with me today, Louis Audet, our President and CEO.
Louis V. Audet: Good morning.
Pierre Gagné: Rene Guimond, our Vice President, Public Affairs and Communication; Andree Pinard, Vice President and Treasurer; and Alex Tessier, our Vice President Corporate Development. Before we begin, listeners are reminded that this call is subjected to the forward-looking statements which can be found in the press release issued yesterday, April 10, 2013, by COGECO Inc. and Cogeco Cable Inc. I will turn the call to Louis for further comments before the Q&A session. Louis?
Louis V. Audet: Thank you, Pierre, and good morning, ladies and gentlemen. And thank you for taking the time to join us this morning to review our second quarter results. We're very pleased with these solid results, both at Cogeco Cable and COGECO Inc. Let me talk about the Cable sector first. Our second quarter has been a profitable one, and for the first time, it includes 3 months' contribution from Atlantic Broadband and 1 month of operations from PEER 1. Both the residential and small and medium business sector, which is cable, traditional cable, as well as the enterprise sector, which includes Cogeco Data Services and PEER 1, have contributed to this favorable outcome. The enterprise sector in particular continues to enjoy high growth rates by virtue of the nature of that economic activity. These growth rates are likely continue -- to continue for decades ahead. We are currently reviewing the appropriate level of disclosure for that sector, by the way. You will have noted that Atlantic Broadband is a net contributor to free cash flow. And you will also have noted that we expect the EBITDA of the enterprise sector to cover its CapEx for the first time in fiscal 2014. On the COGECO Inc. side, radio has adjusted to what you will have noted as a more difficult advertising environment. And transit advertising is performing according to plan. So in conclusion, we continue to be focused on the successful integration of Atlantic Broadband and PEER 1. We are on the path to bringing our pro forma debt-to-EBITDA ratio below 3.5 by August 31, 2013, and our objective remains to enhance results and returns, and to create value for shareholders. These are my summary introductory comments, and we'd be happy to answer your questions.
Pierre Gagné: So we'll ask the operator to start the process of Q&A session.
Operator: [Operator Instructions] And our first question comes from Drew McReynolds from RBC Capital Markets.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Just a couple of questions from my perspective. Maybe, Louis, could you just -- on the Atlantic Broadband, just update us on a couple of things? One is can you just remind us what the coverage is with DOCSIS 3.0 across that platform? And then also on the Atlantic Broadband side, when you look at your PSU growth, just curious to know where that growth is coming from in terms of new subscribers? Are you gaining some at the expense of your competitors, I guess, predominantly satellite or are you driving kind of new penetration?
Louis V. Audet: First off, the DOCSIS 3.0 has an 85% coverage and will have 100% by year-end. With regards to the PSUs, basically, for Internet and phone, it's really added penetration of essentially fulfilling what we had said we would do. The penetration of the Internet and phone at Atlantic Broadband was perhaps not as high as its peers, and now they're in the process of catching up, as we had said. I wouldn't qualify this as necessarily taking business away from others because that's not really the focus. I'm not saying it's not happening but there's not a particular drive to take customers away. But there is a drive to grow the market.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Okay. And just two other follow-ups from me. First, can you just update us where the IPTV overlap in Canada sits with respect to your footprint? And then just a simple one here. You allude, obviously in your MD&A, saying that 40% of your programming costs are dependent on or coming from Bell. Can you just update us what the length of the most recent carriage agreement that you did with them? How long does that go for?
Louis V. Audet: With regards to the IPTV competition, we had estimated that 25% of our footprint would be covered. I don't believe we're there yet, but I think the -- I think our competitors are going in that direction.
Pierre Gagné: That's right. We're on -- they're on path to go there.
Louis V. Audet: Now with regards to our programming costs, obviously, you have read our interventions at the CRTC. These are private agreements with our suppliers, and we're not in the habit of discussing these, nor these nor any other private agreements. So I'll ask you to excuse me for not following up on your question.
Pierre Gagné: The 40%, Drew, that you're talking about, it's once Bell/CTV merged with Astral. It's not the case as we speak today.
Operator: And the next question comes from Jeff Fan from Scotiabank.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: My question is on the U.S. to start off with. Margin for the quarter was very strong, almost 46%. Looks like there was a pretty big jump from a year ago. I know you don't report those numbers but just based on historical, looks like there was a big jump. Wonder if you could talk a little bit about what's driving the margin improvement and maybe give us a little bit of color on what's going on with programming costs, in the U.S. in particular, given what some of the U.S. peers are showing on the year-over-year growth.
Pierre Gagné: Okay. So with respect to the margin, the 45% plus range, they've been like that, Jeff, for some times, in the 45% range. So I'm not sure what you're looking at specifically but if we look at the -- if you want, effective say, a year ago today, so say, it was spring 2012, when we started to look at this file late spring and we look at the numbers, the 45% EBITDA margin was there. And what they've done essentially for the last few years was essentially to review their processes and the way they were, if you want, taking new customers and the -- taking the -- checking their credits and so on and so forth and really work on the processes to have really profitable customers as they were getting them. So and also, what they've done is streamline some of their expenses with respects on how to attack the market in terms of sales and marketing. So they've been, if you want, more direct in terms of how they attract customers and how they get their new customers and which one they get through to credit check. So that's how they've done that.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: I guess I was just comparing their calendar Q1, that was closer to the 41%, I think. So that's -- that was the quarter I was looking at.
Pierre Gagné: I don't -- I don't remember that the -- I mean, unless there were a onetime charge or something like that I am not aware of, but I don't remember looking last year at 41%. They have to be something -- they were more in the 44%, 45% range for the last 18 months.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: So how do you see this margin going forward?
Pierre Gagné: The margin? We think we could maintain the same type of margin. Now with respect to the programming cost, they've negotiated most of their programming cost in the last 4, 5 months. There are a few things remaining but nothing of significance. So we shouldn't expect to see what you saw with, say for example, the U.S. larger players...
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: And are those for -- are those recent negotiations all factored into your current quarter already?
Louis V. Audet: Yes, yes.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: So they've all been kicked in?
Louis V. Audet: Yes, just about -- yes.
Jeffrey Fan - Scotiabank Global Banking and Markets, Research Division: And just maybe a second question back on to the Canadian side, more of a strategic question, there's been, obviously, a lot of talks about on the wireless front with new entrants potentially being on the block and new spectrum coming up in the auction later this year. Wondering if you can just review for us what your thoughts are on the wireless side.
Louis V. Audet: We continue to -- our position has not meaningfully changed. We continue to deploy WiFi stations in our existing cable franchises. And that is about the extent of what we intend to do on that file.
Operator: And the next question comes from Greg MacDonald from Macquarie Capital Market securities.
Gregory W. MacDonald - Macquarie Research: Question I have is on the PEER 1 business. And I'm going to ask on the growth profile and on the spending profile. So let me start on the growth profile side. Some recent concern about competitive pressures in the U.S. hosting and managed services segment. So I wonder what you -- whether you might comment on first, whether you've seen any pricing pressure within the segment there and what your -- based on your guidance number for this year, what that is on a year-over-year revenue growth basis for fiscal '13 when you look at the full year? That would help us kind of think about how to model.
Louis V. Audet: Yes, well, in a minute, I'll ask Pierre to address the growth figures. I'll address the competitive situation. This is a competitive market. It has always been a competitive market. But it is a market where demand usually exceeds supply over the long term. And one where, and particularly in -- particular with PEER 1, the number of personalized variables in a given service proposal are so numerous that it's not ultimately really a question of price, but it's more a question of personalization, speed of answer to the request and quality of the service. So there always are pressures, but we don't believe them to be the determining factor at this point in the growth cycle of that industry.
Gregory W. MacDonald - Macquarie Research: And Louis, maybe I can ask it another way. Has your expectation on the revenue profile or revenue targets changed since the acquisition was done?
Louis V. Audet: It's in line with our expectations.
Gregory W. MacDonald - Macquarie Research: In line? Okay, thanks.
Pierre Gagné: So to answer your other question in terms of growth is, I think we have to distinguish between what co-location business is doing compared to what the PEER 1 is doing, which is doing just about -- doing very little co-location business. They're more into the data hosting, managed hosting and managed services, what you call it as a big caption. We're of the view that you'll see it double this year. The 7 months that we've done one so far -- so the 6 remaining months of the fiscal year, if you would compare it with the equivalent, the last 6 months of the prior year, we expect to have a double-digit growth in there. So in the 10% to 15% range compared to, say, the last 6 months of what would have been our fiscal year, a year ago.
Gregory W. MacDonald - Macquarie Research: So second half versus second half?
Pierre Gagné: Yes.
Gregory W. MacDonald - Macquarie Research: Okay. And then on the spending side, what I find a little curious is that, the depreciation guidance number, the change in depreciation, appears to me to be outsized relative to the change in revenue and EBITDA. I may just be misunderstanding that but to be clear, is there anything other than PEER 1 in the change in depreciation guidance?
Pierre Gagné: No, it's essentially PEER 1. What it is essentially, to answer your question, is we have to depreciate, if you want, the customer base and certain intangible over a certain period of time and because of the price that we pay and the asset base, there was more intangible than you would find, say, in other type of business. And a part of that has to be allocated to the customer base. So that's for one. For two is that, they've spent capital on the, for example in the U.K. where they are building up a new plant so this is something that they're starting. And the final one is they're providing servers to customers, and the servers are depreciated over a shorter lifespan, if you want, than what you would have for, say, customer base or you would have for, say, the infrastructure in the U.K. So the combination of that is explaining the factor. As they have a higher growth supplying the servers, servers are depreciated on a faster period. It impacts the depreciation among other things.
Gregory W. MacDonald - Macquarie Research: And the final question I have is on the CapEx profile for PEER 1. Louis mentioned free cash flow positive for the enterprise segment next year overall. Can you help us -- I know you don't want to give guidance on '14 but --
Pierre Gagné: Let -- okay. So what -- what we're saying is that what we expect in 2014 is that EBITDA minus CapEx would be breakeven or a little bit positive.
Louis V. Audet: For the enterprise.
Pierre Gagné: For the enterprise sector. That's what we're shooting for, for next year.
Operator: And the next question comes from Maher Yaghi from Desjardins Capital Markets.
Maher Yaghi - Desjardins Securities Inc., Research Division: I wanted to ask you relating to your capital structure. You mentioned in your prepared remarks that you expect the debt-to-EBITDA ratio to decline to 3.5 at the end of this year. I wanted to ask you, do you feel constrained by the current debt level in your capital structure in terms of potentially making additional acquisitions if they were up to be made? And what -- I mean, what kind of level do you believe you want to bring that ratio down to before you could make additional acquisitions?
Louis V. Audet: Well, I'll try to answer the first part of your question. Other than small, very small tuck-in acquisitions, we have no plans to make further acquisitions until we have brought this leverage ratio down. We have said that we would bring it to a pro forma of less than 3.5 by August 31, and that's what we're focused on. So until such time as we reach that level and perhaps even a little better, there's no consideration for other major transactions.
Maher Yaghi - Desjardins Securities Inc., Research Division: So, maybe just a follow-up on that. What kind of level you're aiming to achieve, maybe a bit longer-term than end of this year before you become more comfortable making additional large acquisitions?
Louis V. Audet: It's always a bit, a question of judgment that has to be applied when something becomes available. And you have to see whether you can afford it within certain -- given the credit availability that you have while maintaining your investment grade rating. So a $50 million acquisition might be doable a year from now but not a $200 million. I'm just throwing these figures out. I haven't figured it out. I'm just throwing them out. So I think it's a question of individual judgment when opportunities present themselves as to whether we can, in fact, afford to do them, that they contribute to our profitability and shareholder value and whether they maintain our investment grade ratings. So it's a combination of factors.
Maher Yaghi - Desjardins Securities Inc., Research Division: And do you feel a certain hurry to bring down that debt level down or you believe you're just going to pay it down from your current cash flows?
Louis V. Audet: Oh, we're going to pay it down from current cash flows. That's what we're doing, that's what we want to do, of course.
Maher Yaghi - Desjardins Securities Inc., Research Division: And just on the second topic, quick question on your organic enterprise business excluding PEER 1, it seems the organic growth rate a bit under pressure since the last couple of quarters. Are we going through some difficult comparables from business wins you had last year, or this is the 6% organic growth rate we're seeing in your enterprise business, that's the rate it should be going at right now?
Pierre Gagné: So I think we -- in the enterprise sector, there are basically 3 types of 1 subsegment, if I may put it this way. You have the data transport, you have the co-location business that CDS is mainly doing and you have the managed hosting, and that is mainly at PEER 1. These 3 -- if you want, these 3 buckets have different growth type. So in the data transport, it's more like the mid-single-digit type of growth. The other type, the co-location, it would be a more higher, single-digit growth. And then in the managed hosting business, it's a double-digit growth. So what you're seeing there when you're talking about the 6%, 7% growth is more related to the first 2 and a combination of the first 2. But again, I think that once we get to really to the full fledge of a combination and a more wholesome offering for our customers of both data transport, co-location and managed hosting, as we organize to have the full breadth of service in front of our customers, I think some parts may gain in the --
Maher Yaghi - Desjardins Securities Inc., Research Division: Revenue synergies, et cetera, from the combination, okay.
Pierre Gagné: Yes.
Operator: And the next question comes from Glen Campbell from Merrill Lynch.
Glen Campbell - BofA Merrill Lynch, Research Division: I wanted to talk first about the EBITDA on the enterprise segment. If we include some, let's say for PEER 1, it looks like there is a bit of pressure there. So I was wondering if you could comment on that and whether there are any one-time contributors to costs in the quarter in enterprise? And then secondly, I had a question on pricing increases. I guess last year, around this time, we had some rate increases in the Canadian cable segment. So I was wondering if there's anything happening there. And if you could walk us through with the cycle of rate increases is, in the U.S. cable business, say when they were last year, whether you have similar ones planned for this year and some indication on magnitude.
Pierre Gagné: I just want to go back. Did you say, I'm sorry Glen, did you say that it's the PEER 1 that has margin pressure?
Glen Campbell - BofA Merrill Lynch, Research Division: Enterprise in total seemed -- it just came in a little lighter than we had seen it before.
Pierre Gagné: Okay. Well, in the PEER 1 for the month of February, there's been some one-time situation with respect to the Sandy storm where they had to make some payments related to that, some costs related to that during the month. And other one-time that occur, I would call it post- transaction. Some are related to timing. But I would say as far as PEER 1 is concerned and as far as CDS, Quiettouch and MTO group is heading for the fiscal year 2013 -- look, it's essentially in line with what we thought in terms of EBITDA growth year-over-year. So -- but it happens a onetime there in terms of PEER 1. But if you would exclude that, we're quite comfortable of what happens. I wouldn't read too much on this front.
Glen Campbell - BofA Merrill Lynch, Research Division: Okay. Just to clarify that, you indicated 10% to 15%. So that would be taking 6 months from PEER 1 on standalone, 6 months from your enterprise business CDS standalone, you'd have a 10% to 15% growth off that base in the last 2 quarters?
Pierre Gagné: You're talking CDS? No, CDS, I said, you would have a mid- to high single-digit growth.
Glen Campbell - BofA Merrill Lynch, Research Division: On EBITDA?
Pierre Gagné: Yes. More high than mid, but it's single-digit. With respect to the PEER 1, it's more -- it will look more like a double-digit. Now with respect to the Canadian cable service, the price increases will come about over the next few months, as usual. And with ABB price increase, they took place more January, February type of thing. So you won't have the full impact of it in the Q1. You will have a bit of it in Q2. Sorry, their Q2 -- sorry, our Q3 and the second quarter that we have them.
Glen Campbell - BofA Merrill Lynch, Research Division: Okay. And so the U.S. increases this year happen on the same schedule this year as they would have in the prior year because that can cause obviously distortions on the year-over-year comps.
Pierre Gagné: I think it's about the same. There may be a month here or there but there's not that much difference.
Operator: The next question comes from Vince Valentini from TD Securities.
Vince Valentini - TD Securities Equity Research: Two things. First one, just a clarification on a prior question. The increased amortization of intangibles from PEER 1, I assume that's noncash and I'm wondering, is there any tax deductibility you can get against that?
Pierre Gagné: That's a good question. I'm going to book our VP Cooperatives on this. There are a bit. I think there's a --
Louis V. Audet: There is a bit from the cash bond.
Pierre Gagné: Yes, there is a bit, but not much. But the depreciation is a noncash and there may be a bit -- we'll check that and we'll get back to you for more specifics.
Vince Valentini - TD Securities Equity Research: Okay. For the second one, on Canadian cable, you had a pretty strong first half of the year. EBITDA is up almost 10%. You're not breaking out in your guidance the segment, but eyeballing, it looks like full-year guidance, you're only calling for about 2% to 3% growth in Canadian cable EBITDA. And so I'm wondering if you can sort of confirm at least directionally that, that's what you're looking for. And if so, it implies much lower growth in the second half of the year or maybe even negative year-over-year growth. So are there any significant factors there to do with the Analog-to-Digital transition and the timing of those costs or perhaps program cost increases or higher promotional spend, something that would make the growth rate year-over-year so much lower in the next 2 quarters versus the past 2?
Pierre Gagné: Well, look. We tend to provide guidance that we're comfortable that we will achieve, Vince. So that's as best as I could answer your question. There may be a project here and there that may cost -- that may be a one-time over the 6 remainder months of the year. But I would say for the most part, I think it's -- we prefer to provide guidance that we know we're going to achieve or we are more comfortable than not that we will achieve.
Vince Valentini - TD Securities Equity Research: Can I just drill that in just on the 2 points then that the big cost you incurred last year for Analog-to-Digital transition, did those taper off significantly in second half of the year?
Pierre Gagné: Yes.
Vince Valentini - TD Securities Equity Research: Okay. And program costs, what would you see in the second quarter with regards to any rate increases that may have incurred on contract renewals over the last year, is the second quarter run rate already full or are there any other rate increases that could be kicking in over the next 6 months?
Pierre Gagné: I think most of them -- most of them have kicked in, Vince. So there may be a few here and there but I don't expect anything of significance.
Operator: And the next question comes from Rob Goff from Byron Market Securities.
Robert Goff - Byron Capital Markets Ltd., Research Division: I'd like to go back to the question on pricing. Could you provide a bit more color in terms of the magnitude of the price increases at AB, Atlantic Broadband?
Louis V. Audet: These price increases would be in the nature of pretty much the same thing they are in Canada, a few dollars per package. And of course, customers that were brought on board on specific promotions they -- you have to manage their easing into the normal rate structure. So these are ongoing things. So I wouldn't qualify them as unusual. I would say they are pretty much of the same magnitude as what you've seen us do in Canada.
Robert Goff - Byron Capital Markets Ltd., Research Division: Okay. And can I just ask in terms of the momentum you're seeing on 3-product adoption and bundle penetration in the marketplace?
Louis V. Audet: Yes. Well, that's what -- that was one of the big growth areas that we saw in Atlantic Broadband. So they are now pushing and promoting, increasingly promoting, adding products to the bundle. And as you can see, it's starting to generate results. I think we're at the beginning of a new marketing cycle, a new marketing approach and we'll see that unfold in future quarters.
Operator: The next question comes from Dvai Ghose from Canaccord Genuity.
Dvaipayan Ghose - Canaccord Genuity, Research Division: I just wanted to go back to the enterprise division and your objective of generating enough EBITDA to at least cover CapEx next year. As you know in this quarter, your CapEx was I think more than 2.5x your EBITDA. So not to be too granular, is the main driver just the EBITDA growth that you envisaged or was CapEx unusually high at this period in this year perhaps compared to later periods?
Pierre Gagné: So to answer your question, as you know we have a combination of different factors going on. In terms of the 3 big contracts that we have, with the 2 school boards, they're getting into completion. So you won't have a full year of CapEx for 2014 on that front. And we have the Barry [ph] data centers that we put a lot of money this year. Plus in the context of PEER 1, they had some CapEx program that they've already started to do, which should be completed in terms of creating a new pad in one of their data centers. So I would say that the -- once you've built, you don't need to rebuild again. So there will be -- on that front, less CapEx on that front for next year although we're going to spend money for the Montréal data center. So that's for one. So a level of CapEx that will be the combination of both CDS and PEER 1 will be somewhat lower. But you will have a growth in EBITDA as well, strictly from the fact of the demand and how much revenue we'll generate out of that. So it's a combination of both for fiscal year 2013.
Dvaipayan Ghose - Canaccord Genuity, Research Division: That's great. If I can switch gears to Canadian cable, it was good to see and unexpected that your basic cable losses were actually lower than the year-ago period. Is that despite the fact that the Bell IPTV footprint in particular is continuing to grow, I believe, in your territory? What drove the better retention? Were there some promotions, less aggression from Bell, what were the factors?
Louis V. Audet: Really, there were no unusual promotions. The competitor -- competitors remain vigorous. But we continue to perfect our tools to make sure we anticipate what customers want to do, attempt to please them and retain them as much as we can. And I think these are the major things that you're seeing but the competitiveness in the market has not reduced.
Dvaipayan Ghose - Canaccord Genuity, Research Division: So is this a portend of diminishing losses as a trend or is it quarter by quarter?
Louis V. Audet: I think it's quarter by quarter.
Dvaipayan Ghose - Canaccord Genuity, Research Division: Yes, that would make sense. Two more quick ones, if I may. The effective tax rate, Pierre, in the quarter was only 21.7%, which is lower than the statutory. Is that unusually low or is the ABB factoring in the lower tax rate?
Pierre Gagné: Well, the effective lower tax rate in ABB is because we have losses carry forward that we're using.
Dvaipayan Ghose - Canaccord Genuity, Research Division: So that also reduces your income statement tax rate?
Pierre Gagné: Plus we have the double-dip tax structure.
Dvaipayan Ghose - Canaccord Genuity, Research Division: Right. So we should use about 22% going forward?
Pierre Gagné: You're going too quickly. Use our guidance for 2013 because 2014 is -- it could be another year. But I would say low 20s would be fair on this stage of the game.
Dvaipayan Ghose - Canaccord Genuity, Research Division: Right. Okay, that's fair. And then finally, at the risk of sounding Cartesian, can you give us some idea as to the ABB revenue EBITDA or in CapEx change year-over-year?
Pierre Gagné: You always have good questions, Dvai. The U.S. business is growing at a pace. CapEx we've said what the CapEx would be, I don't want to discuss what they were before because that's the prior year owner but when in fact, we've discussed about the fact that they have lowered CapEx levels. But revenue and EBITDA is growing by about mid-single-digit year-over-year.
Operator: The next question come from Tim Casey from BMO Capital Markets.
Tim Casey - BMO Capital Markets Canada: A couple of things. First, just on the Canadian side, Louis, it's interesting that the interventions that have been followed by yourselves in Québec or -- seem less aligned than they were last time. And I was wondering, given that, it -- there doesn't seem to be as an orchestrated an effort between yourself and Québec or in Asialink, what should we read into that? Is there an amount of resignation on your part that this deal is going to get done? And second, on PEER 1, and your comments about how you expect CapEx to come down, how much insight do you have into that? Because on a more -- it's a, by definition, a more lumpy business than a consumer cable business. Is there chances that things come up that you've just -- you have to build or is that a number that you have a fair degree of confidence in?
Louis V. Audet: Tim, with regards to the CapEx question, both entities had work that they had to do this year in terms of increasing their floor space, their available floor space. Next year, 2014, there will be less of that. And that was the main driver to the increase. Does that answer that question?
Tim Casey - BMO Capital Markets Canada: But there is -- just in terms of a run rate business, is it a lumpy CapEx profile or is it something that you feel you have...
Louis V. Audet: It is a lumpy CapEx profile when you open new square feet capacity or when you buy a building and outfit it. Otherwise, it's not so lumpy. We've now put together assets from Cogeco Data Services and PEER 1 and in the future, they can both use the other's capacity. So there should be a easing of the lumpiness for a short period. But our objective is to generate free cash flow with these businesses so that's what we're shooting for. Now with regards to your first question, we really don't want to comment on that until we go to the public hearing. But I think you're reading too much in the subtleties of what people have written. Just read their conclusions and I think that the conclusion is the message.
Operator: [Operator Instructions]
Pierre Gagné: We'll take one last question if there is another one.
Operator: There are no further question at this time.
Pierre Gagné: Okay. Well, I want to thank everybody for attending the call. Andree Pinard and myself are available, of course, for further Q&A. The next conference call should be held at the tentative date, at this stage, July 11 -- next July 11 at about the same time. So thank you again for attending the call, and have a great day. Bye-bye.
Louis V. Audet: Bye.
Operator: Ladies and gentlemen, this concludes the conference call for today. We thank you for your participation. You may now disconnect your line, and have a great day.